Operator: Good day, and welcome to the Q3 2014 earnings conference call. At this time, I would like to turn the conference over to Tim Lange. Please go ahead. 
Tim Lange: Yes. Thank you, and good morning, ladies and gentlemen, welcome to our Q3 earnings conference call. My name is Tim Lange, Head of Investor Relations. And with me is Ute Wolf, CFO of Evonik.
 Yes, let's jump right into our today's short presentation which will, as usual, then be followed by the Q&A session.
 With this, I hand over to Ute Wolf. 
Ute Wolf: Thank you, Tim, and good morning, ladies and gentlemen, also from my side. Welcome to our earnings call for the third quarter of 2014. Since we gave a strategic update on our capital market day less than a month ago, we decided to leave this with our presentation today just with the CFO perspective. Klaus will be with us again on the roadshow in London and Frankfurt next week. For the same reason, I also would like to keep the presentation short, which leaves us with enough room for your questions afterwards. So let's start right away.
 First, some brief highlights of the third quarter. Overall, group sales increased by 1%. As currency had no longer an impact, organic sales growth came in at 1% as well. Prices have now almost reached the 0 impact line, and the positive trend is set to continue. Volume growth was good at 2%. The difference of slightly higher growth rates of previous quarters is mainly explained by higher comparables in the second half of 2013. In last year's Q3 and Q4, volume growth was strong with 5% and 8% respectively. Another reason for the lower volume growth lies in operational effects and Coating Additives and Performance Polymers. I will come to that later.
 With our Q2 reporting, we already indicated another sequential earnings increase for Q3. This materialized with an adjusted EBITDA of just over EUR 500 million. It represents an increase of 7% compared to the previous quarter and is only 3% below last year's level. As you can see, there's definitely a stable upward trend in absolute terms as well as relative year-on-year comparison.
 Our earnings are gaining momentum, supported by the positive price trend, strict cost management and first positive contribution from our growth projects. What I would also like to highlight is the increase in adjusted EPS year-over-year. This was helped by a decline in adjusted tax rate to 26% compared to 31% one year ago. Although it is only EUR 0.02, it clearly shows the direction we're heading to.
 Before coming to the segment performance, let me first provide an update on our new segment structure going forward. Besides the reclassification of some business lines, which we already announced at our Capital Markets Day, we will also rename 2 of our segments. Consumer, Health & Nutrition will be renamed to Nutrition & Care, and Specialty Materials will be changed into Performance Materials from January 2015 onwards. The name Resource Efficiency will remain unchanged.
 But already, under the old names, the operational performance of our segment is gaining momentum. Sales and earnings in Consumer, Health & Nutrition improved from Q2, mostly driven by a positive volume and price environment in amino acids. As expected, the positive development in the diamine observed since midyear is accelerating. We are currently experiencing tight supply and a healthy demand in all regions. The main reason for the situation is the limited new supply, combined with a temporary force majeure at existing competitor capacity. The market is currently sold out and is desperately waiting for volumes from our new plant in Singapore. Timing could not have been better here. Price has accelerated in all regions throughout the single months of the quarter, and we expect this trend to continue in Q4. However, volumes are constrained, as we are already running at full capacity, and the new plant will only ramp up slowly step-by-step in Q4. But before we all get too excited, we already mentioned it at our Capital Markets Day, this development is in line with our expectations and already incorporated in the specified outlook that we had given with our Q2 earnings.
 Resource Efficiency recorded another strong quarter with an adjusted EBITDA margin comfortably above 21%. The reason for the sequentially lower earnings is besides the usual seasonality, mainly a regular maintenance shutdown of our large Crosslinkers plant in Germany. Although volumes will be partly covered by inventory and imports from our new plant in Shanghai, the higher logistic costs had an impact. Overall, the effects on the maintenance shutdown is up to a high single million euro amount, single-digit million euro.
 After the strong start into the year, demand from construction and coating industry stabilized on high levels. Together with the mentioned shutdown of the Crosslinkers plant, this is the reason for volume growth coming in slightly below the high rates of previous quarter. Structurally, demand patterns in all our markets look fully intact.
 Earnings in Specialty Materials picked up and showed a nice increase of 14% compared to Q2. This was mostly driven by Advanced Intermediates, whereas earnings in Performance Polymers were broadly unchanged, compared to the previous quarter. In the C4 chain, we experienced a mixed pricing picture as margins were supported by lower raw material costs. Additionally, our new HPPO plant in Jilin is further ramping up and contributing to earnings. Volume development was slightly below the strong levels of the previous quarters, mainly due to a more pronounced SurModics [indiscernible].
 Now let's take a short look at our financial debt development. As expected, the inflows from the STEAG divestment resulted in a significant cash contribution of almost EUR 570 million. Additionally, the positive operational cash flow more than compensated for our investments during the quarter. All in, we are currently showing a significant net cash position and expect this to be the case also at the end of the year.
 Also, worth mentioning are our pension provisions. We had to lower the applicable discount rates once more from 3.25% to now 2.75%. This resulted in another provision increase of almost EUR 540 million.
 Finally, a word on the outlook. I already talked about the consecutive earnings improvements over the recent quarter. In the fourth quarter, of course, this would -- trend will not continue as the fourth quarter usually has the seasonality and is weaker than the third quarter. But for the first time in 3 years, we anticipate a year-on-year earnings increase in the fourth quarter, another clear proof of our accelerating earnings momentum.
 Overall, the positive development in amino acids provides support and somewhat protects us from the general trend of a potentially rougher macro environment. Having said this, we are on track to meet our full year guidance. Adjusted EBITDA will be probably in the lower rather than in the upper part of the EUR 1.8 billion to EUR 2.1 billion range.
 That was my brief summary of the quarter. Tim and I are now happy to take your questions. 
Tim Lange: I think before I hand over to the operator, just let me add a short housekeeping remark. [Operator Instructions] Sarah, please take over for the Q&A session. 
Operator: [Operator Instructions] We will now take our first question from Thomas Gilbert of UBS. 
Thomas Gilbert: Two questions, if I may. You -- Ute mentioned that fourth quarter is typically slower on earnings. Can you confirm that it is the best quarter though for operating cash flow and for cash collection as CapEx increase aside, just be -- the cash flow before CapEx, that's what I'm looking for? And the second question is on Specialty Materials. You're highlighting methyl methacrylate and the spreads on C4 versus NAFTA, but there's still a debate in the market amongst the other listed players that we cover regarding the polyamide 12 market. Can you just give us a little bit more flesh of the bones on how pricing and volume stacks up in that polyamide 12 market because it is being described to us as extremely competitive? And how your project pipeline looks in that product area into 2015? 
Tim Lange: Yes, let me start with your second question on polyamide 12. I guess, you're well aware of the situation we had a couple of years ago with the incident at our production plant in Marl in early 2012. Since then, we always communicated that customers are coming back constantly and volume since then are ramping up and are increasing. This is maybe a little slower than we initially expected. However, we are well on track here. The market looks solid and looks okay. In some parts of the PA12 business, we had the typical summer slowdown in July and August. However, September looks good, looks okay again. On the pricing side, clearly, prices are lower, which is just an effect of the lower butadiene price. On the margin side, we are still here on solid ground, on solid levels, which has helped a bit in the -- generally and the high-performance polymers businesses at other parts of this business are also strong and are performing well. For example, we have ROHACELL, which is a foam business for our lightweight construction, and also our membranes business from polyamide is doing pretty well. So overall, we are satisfied with the situation as it is in high-performance polymers. 
Ute Wolf: Yes, your question on the Q4 cash flow, I think as Q4 is seasonally weaker quarter, of course, we have lower EBITDA compared to the other quarters on an asset level. And net working capital, of course, there are optimizations towards year-end. So that works a little bit against that. In CapEx, there's also a usually rather high payout towards the end of the year. As you have many settlements in the fourth quarter, so I think those are the main determining factors for the Q4 cash flow. 
Operator: Our next question comes from Jaideep Pandya of Berenberg Bank. 
Jaideep Pandya: First question is on superabsorbents. Can you just elaborate what is going on in this business because you've also mentioned a couple of quarters now that the demand -- or performance has been a bit weaker, and one of your key competitors are saying the same? So just wanted to understand have you basically lost share to one of their players who was down? Or is there additional capacities which is pressuring the market? Or is there a demand that is weaker? So that's the first question. And then just on methionine, can you just run us through into '15 now, considering the demand supply is very tight, how do you plan to ramp your plant up? And are you on schedule for the first product coming out in Q4 because, obviously, consensus price is in a fairly decent volume jump for this division. So just wanted to understand how do you feel about this in '15? 
Ute Wolf: Yes, thank you for the question, Jaideep. On the superabsorbents, I think the situation is as we described it many times before this year. Compared to last year of course, we had last year an extra effect because of the outage at Nippon Shokubai, of course, they are now back into production so that year-on-year leads to lower volumes here at our side, but that is not a general volumes trend. We are marketing our volumes on longer term contract. So for us, I think there is not a big change in volumes, of course, in the overall industry, as you described, new capacities are coming on stream. And the way we look at is that with our innovation -- product innovation, we deliver the respective value to our customers, which then leads to the several-year contracts and the volume that we contract with that. In the methionine, our new plant will be inaugurated next week, so the technical completion has already happened, ramp-up is going on. We will produce first volume in the fourth quarter. We are completely flexible. There are some technical limitations to ramp that facility up to a very high-capacity utilization from day 1 on, so that will be managed step-by-step. But we are -- as I said, we are flexible here on how we manage the volumes. Normally, Q4 is a strong quarter for methionine, partly Q1, that is the season of the Chinese New Year. As far as we can see, the rather tight demand supply situation might last us into the next year, so this is how we look at it. 
Jaideep Pandya: Okay, just, is it roughly 50 kilotons, is it a good assumption next year from this plant? Or you wouldn't like to comment on it? 
Ute Wolf: Normally, we do not comment on single quantity from single plant, but I said we will introduce such a big capacity over several years. So I think that is a fair reflection of what you said before. 
Operator: Our next question comes from Paul Walsh of Morgan Stanley. 
Paul Walsh: A couple of questions from my perspective. I'm guessing that you're not going to be able to answer the tasks either but I'll try anyway. If you can cast your bets [ph] to 2015, I'm looking at market expectations, can you establish or shed any light on what your expectations are for the coming 12 months? Clearly, there are some parts of your business that are improving, methionine a major part of that. So just any initial commentary on that would be helpful. And secondly, I know you're not going to be giving any specific comments around M&A rumors as we've seen this morning. But the balance sheet is strong, the company has talked about its desire to let it embark upon [indiscernible] consolidation. What's the kind of time frame that you guys are looking at with regards to deploying the balance sheet? Or is it really not -- does it not work like that? Just anything that you can update on that front as well would be helpful. 
Ute Wolf: Yes, Paul, thank you for the questions. Expectation for next year, it is too early to comment in detail. I think as for the general industry, the visibility is limited -- has been limited in the last years, especially in the current macroeconomic uncertainty, and of course, we still have potential risk from the geopolitical tensions. We will give our outlook next year when we publish full year earnings. And we want to make sure, of course, we'll give you an outlook, which is then based on solid assumptions. Looking at our overall portfolio, I think there are smaller parts that have some exposure to cyclicality in the overall economic environment, basically, in the performance of Specialty Materials and, to some lesser extent, also in Coatings and Additives. But I think the rest of the portfolio does not have that high exposure to macroeconomic fluctuations. 
Paul Walsh: And just on that front, are there parts of your business that have incrementally weakened in recent months, with the more negative discussions around the macro? Or is it -- is this more a question of something that might happen rather than something that is as yet materializing in your numbers? 
Ute Wolf: If you look at our volume development in Q3, it's still very good, yes? So we do not see concrete signs of a stronger weakening. I think it's more a question of price development specifically [ph] the butadiene price, which is weakening also based on lower NAFTA, but that maybe describes it better. I think some factors are in our hands, and this is what we focus on, of course, disciplined approach to investment and cost management, saving contribution from Admin Excellence. Also contributions from our investment projects will accelerate next year as we have finished major projects this year. There are some ramp-up costs still next year, but overall, I think the contribution of our investments should be positive. 
Paul Walsh: Just one follow-up on that, what are the ramp-up costs that you're expecting next year? Can you quantify that? 
Ute Wolf: Well, as we've said, there's no detailed guidance on next year, also not for several lines of the P&L. Then to the M&A, I think we clearly understand your interest in that. We had many questions also on our capital markets. Generally, we do not comment on any specific time line, specific names. There were some rumors going on this night and this morning, I think we have given very clear statements to that, and I have nothing to add to that. 
Paul Walsh: But just in terms of the more generic thinking around the deployment of your balance sheet, I mean, do you think this is something which is just a long-term strategy for you guys? Or is it something you'd like to deal with sooner rather than later? 
Ute Wolf: I think if you think about an acquisition, the timing is not the most relevant factor. I think it makes more sense to do the right step which fits to our strategy, and that might become -- or that come earlier or later, but that's not the deciding factor for us. 
Operator: And our next question comes from Andrew Stott of Bank of America Merrill Lynch. 
Andrew Stott: Let's start with Specialty Materials. I must admit I was a bit surprised by the sequential improvement there, you looking at butadiene, looking at and listening to our key room PMMA, summer slowdown, so what's improved in that area? 
Tim Lange: I guess, in Specialty Materials, what mainly impacted the sequential improvement was on the one end slightly better margin in our C4 chain, prices were more or less stable. MTBE prices -- MTBE factor was a bit better and also than Q2 on this is a slightly tighter market, so that had, on the other hand, raw material prices were slightly lower on the back of some lower NAFTA quotations, lower NAFTA pricing, so this was the one element in the C4 chain. The other element was the startup of our new HPPO plant, our new hydrogen peroxide plant for HPPO production in Jilin in China, which now is ramping up and delivered the first slide -- the first small earnings contributions in Q3. So, I guess, these are the main moving parts between Q2 and Q3. 
Andrew Stott: Okay. So is it fair to say that because of the swiftness of the oil price fall, the NAFTA price fall, there was a bit of a one-off in that before butadiene contracts reset? Is that fair so to not extrapolate into Q4. 
Tim Lange: Yes, I mean, in Q4, the situation now looks a little weaker across the C4 chain and butadiene prices are somewhat down, also MTBE is typically weaker in Q4 in winter times. So I wouldn't call it a one-off. That's the usual effect of the spreads in the C4 chain of pricing for butadiene, MTBE, 1 butene, also isophorone [ph] and the input factors which are in some kinds on most of the cases based on NAFTA, so that's the usual spreads you have. And now that's in Q4 that's depending on how price and NAFTA move, but we expect -- in that business we expect a slightly weaker Q4. 
Andrew Stott: Okay. The second question I have is on Nutrition division. So I think pricing down too in the third quarter. Again, a bit surprised that you're not seeing it slightly better than that. When I think about the fourth quarter, have we got a chance of having year-on-year price inflation in your booked number? 
Ute Wolf: Yes, I think for the animal nutrition, as the methionine prices are sequentially increasing, of course, that overall would've been also a trace in our price effects. 
Andrew Stott: So you'd be confident you have a positive year-on-year number. 
Ute Wolf: Compared to Q4, normally, yes. 
Tim Lange: Also, keep in mind also it's the delicing [ph] prices head, which is still down year-on-year, so this is compensating somewhat for the somewhat more positive methionine prices effect year-on-year. 
Operator: Our next question comes from Andrew Benson of Citi. 
Andrew Benson: Firstly on tax, like, can you -- is the long-term tax rate changed at all? I'm just ready to carry on from what Andrew was saying. Do you think there has been a change in the raw material cost environment that could produce a sustained benefit? Or do you think that will unwind next year? And obviously that costs of change relative to ethane [ph], but it's still much more expensive, but whether there's any change in the overall dynamic which could enable a little bit more margin capture over the medium term, just your opinions on that would be great? 
Ute Wolf: Yes, starting with the tax rate. I think for the full year, we gave a guidance of around 28% of the adjusted tax rate. I think for longer term, there are different influencing factors. On one end, we see, of course, Administration is trying to capture more earnings in every country to tax them, so I think that is something we have to watch very carefully and adjust our tax strategy to that. But I would say high 20s, normally, should be achievable, if nothing very fundamental changes. On the raw materials, I think that's very diverse picture we have in many products we have pass on mechanisms. I think low NAFTA price on one hand helps, of course, in the butadiene business. But for MTBE and 1-butene, you have NAFTA factors so that has been a different picture, so I think it's, overall, really different by product and by division. 
Andrew Benson: But overall, your view would be, it won't make much difference, and substantially that benefit will be passed through. 
Ute Wolf: I think what we have experienced in the past when the raw materials were rising very strongly that we can pass on most of that price increase. Sometimes, it's a little time lag, of course, when prices go down, that part of mechanism also works. But overall, the margin gets more or less protected, except for the sector pricings, of course, if NAFTA price is lower and you have a factor, of course, have a marginal effect on the escrowed amount. 
Operator: Our next question comes from Lutz Grueten of Commerzbank. 
Lutz Grueten: The one that's on methionine and do you expect that ramp-up cost for Singapore? Can you confirm that these ramp-up costs will be fully booked in the final quarter? Or it would also be something 2015? That's the first question. And the second question is regarding the balance sheet and your deferred tax position of the balance sheet. The tax liabilities are pretty stable since 2012. However, on the tax assets that more than tripled to now EUR 1.2 billion after the first 9 months. What's the background of these deferred tax assets please? 
Ute Wolf: The deferred tax asset is linked to the increase in the pension DBO, so we have then a deferred tax asset against that. So that's more or less the whole story. And I think Tim will comment on the ramp-up costs of the methionine plant. 
Tim Lange: Yes, the ramp-up costs from methionine, I guess, will, as you said, be mainly in Q4. And, I mean, we also had a couple of ramp-up costs over the last quarter that's clear. And now Q4 will be another quarter with higher ramp-up costs, partly spilling into Q1 as we are further ramping up the plant. So, I guess, that's the picture of Q4, mainly a little what -- a little bit into Q1. 
Lutz Grueten: Okay, and so, regarding the pension DBO, this EUR 1.2 billion tax asset, so will it be stable -- if the DBO is stable? Or will it come down again even if you don't change something on the DBO plans? 
Ute Wolf: If you have to -- if the pension DBO rises, you have around 30% tax asset against it, so that is the movement in the deferred tax asset. 
Operator: Our next question comes from Markus Mayer of Baader Bank. 
Markus Mayer: Two questions as well. First, again, coming to [indiscernible] question and that's on capital. From the phase in Q3, this higher nets on capital effect, is this coming down from a strong September? That's my first question. And, in general, how was the phasing of the different month in Q3. And the second question is on the plant shutdowns. Are there any in Q4 or further larger ones? And what is phasing next year? 
Tim Lange: Markus, on the first one, on net working capital. This is not so much. It's more of a one-time effect in the third quarter. It's not so much related to the underlying business. It's more closing date, reporting date effect at the end of Q3, and so this will revert completely, probably, already now. So in Q4, it's a small technical closing date effect as of end of September for the first 9 months, I guess, the effect is already less pronounced, if you look at the full 9-month numbers. So -- and on the phasing of a single month in the third quarter, I guess, also, what you feel in the general industry July, August, obviously, the usual summer break, and then in September, we have been back to a month with pretty good demand apart from the one or the other smallest parts we have not seen a significant change in our overall portfolio in terms of demand or customer sentiment in Q3 apart from the usual seasonality. And the second question was on plant shutdowns. Yes, there are here and there some smaller shutdowns, but nothing significant for the fourth quarter, obviously, as Ute have already said, the usual seasonal weakness, but no really pronounced plant shutdowns that we are aware today for the fourth quarter. 
Operator: Our next question comes from Andreas Heine from Barclays. 
Andreas Heine: I have a question regarding the net debt and EBITDA. So you have now net cash. But on the other hand, the pension provisions have increased a lot. So if we include the pension provisions, our net-to-debt EBITDA is on a magnitude of 2. Looking now on acquisitions, what is the ratio that you are still comfortable to? And does the impact of declining interest and rising pensions at all limit your ability to acquire businesses? And related to this, the second question, you put money into CTAs, do you have the intention to put more money into the CTAs given the rising deficit? Or will you continue as planned? These are my questions. 
Ute Wolf: Yes, Andreas, thank you very much for the questions. Yes, I think our target on the creditor side is to be as stable and good investment grade. So the 2.5 leverage ratio more or less corresponds to that. Of course, for a shorter period of time, that could be exceeded, but we would have to present a clear plan to the rating agencies how to come back to desired levels. The fluctuation of pensions, of course, are little bit working against that. So I think maybe you cannot retake it quarter by quarter, but overall, I think that range is still valid. 
Andreas Heine: And, in general, you have to take notice on this rising pension provision, so will the rating agency will look on this closely? Or do they say that it's fluctuating any quarter and they don't put, let's say, EUR 0.5 million or EUR 0.5 billion or EUR 1 billion within 1 year, too much into focus. 
Ute Wolf: They take it on [ph] but not on a day-to-day basis as they see how much it fluctuates. So, of course, it is part of the debt, but it's maybe not assessed as sharp as it was straight [indiscernible] in that way. The other question was on the CTA contribution. So I think we also communicated that quite consistently that we will inject another EUR 200 million this year in the fourth quarter, and then the actual funding plan would account for another EUR 200 million next year. I don't think it's automatically sensible to put more money into the CTA given the low yield environment because the assets then also have to earn some returns. And I think, you and your colleagues know how difficult that is at the moment. So we stick with the old -- with the original funding schedule, and that's it for the moment. 
Operator: Our next question comes from Oliver Reiff of Deutsche Bank. 
Oliver Reiff: Two questions for me on methionine. The first is on numbers. Could you give an indication of how large in EBITDA uplift we could potentially see in Q4 versus Q3 in Consumer, Health & Nutrition given pricing you're seeing flowing into contracts and that's x startup cost. That's the first one. 
Tim Lange: Yes, thank you, Oliver. I guess, as I said, everything is according to our expectations in Q3 and also in Q4. So every movement we see and we foresee in the fourth quarter for methionine is included in our guidance and is, automatically, also included in our Q4 guidance, which then, if you take consensus, should be more or less in the range of EUR 440 million, and that's your estimate. So, I guess, from our side, what we see is all included in our expectations in the specified guidance we have given. 
Oliver Reiff: Okay, and the second one is just on competitors for methionine and just if you have an indication for how they're running, if they're also running very close to capacity. And specifically, on this year, I'm curious to hear whether they've-- you think that they've fully ramped post starting up at the start of the year. 
Ute Wolf: Yes. I think we see some delays in the Asian/Chinese capacities. That is also something that we have been observing now for weeks and months. I think what is an additional factor is the force majeure in the U.S., which, of course, is an additional constraint on the overall volumes. And we will see when that will be then worked out, and this facility will then be back on track again. 
Operator: [Operator Instructions] We now have a follow-up question from Jaideep Pandya of Berenberg Bank. 
Jaideep Pandya: First follow-up is on silica. Could you give us some color what is happening in silica market, if you see any slowdown in growth, especially given that you and your biggest competitor have added a lot of capacity in the last couple of years? So if the growth trends are intact? Or do you see any change in growth trends in this market? And then the second question is just coming back to methionines, apologies. But the intermediate market for methionine, can you say that given that you are, obviously, strongly backward-integrated but some of your competitors are not, so is the intermediate market also relatively tied, which limits then -- their potential for your competitors to increase supply? Or you don't think this is the case? 
Ute Wolf: Yes, thank you for the follow-up. I'll start with methionine and then, Tim will update you on the silica. Of course, it is an advantage for us to be fully backward-integrated, not only for supply security or certainty of supply, but also cost-wise optimization of the whole production. What we have seen is a single plant in the U.S., where there is a force majeure, so I think that's not an overall market symptom, but it's just in that specific facility, and of course, everybody has their suppliers. And if one big supplier has force majeure that cannot be compensated at every point in time. 
Jaideep Pandya: Okay, but you have no exposure to the intermediate market? You are completely backward-integrated in all the regions? 
Ute Wolf: For methionine, yes. 
Tim Lange: On silica, I guess, overall, what you've seen is that the positive trend of the last quarters of the last years also continued into Q3, so market looks okay, demand looks okay, looks strong even. So we had the strong volume development in Q3, also driven by a healthy tire demand -- tire product demand by a very healthy specialty silica demand, for example, for our methine [ph] agents, which is going pretty well today. So, overall, we continue at high utilization rates of our plants. We have implemented even some price increases for silica products. End-wise, I guess, we are currently seeing a healthy adhesives and sealants markets. We are seeing a strong silicon market. We are seeing good demand from the Tire and the Coatings industry and also good demand in Europe, Asia is also slowly recovering and really nothing to be concerned about. As we discussed on our Capital Markets Day, I think for capacity expansions, we have a pretty diligent and flexible approach to increasing our capacities with debottleneckings at existing plants as we've done in the U.S. by expanding existing capacities and bringing these slowly to the market, where we see that necessarily we will also build new plants in new regions like we've done in Brazil, just recently where we are now ramping or where we are now building our new silica plant in Brazil, very attractive regions. It's the first HP silica plant in Brazil, so we are not too concerned about the market and also ongoing supply demand balance -- healthy supply demand balance in the market. 
Operator: We have another follow-up question from Andrew Stott of Bank of America Merrill Lynch. 
Andrew Stott: Yes, just remind me where we are with the legal separation of the 3 business units back to statement in June. Is that done? Have we got the 3 entities now in place? 
Ute Wolf: Yes, thank you for the question. With the new entities, would start 1st of January, and then I think the full separation takes some time due to legal proceedings. We have to transfer a lot of people and so on, so that will be then mid-year. 
Andrew Stott: Okay, so sorry, I didn't quite understand the difference in the 2 phases. So what happens in January and what happens in mid-year? 
Ute Wolf: You are going to create the entity and then you have to transfer all the employees to the entities and then have to follow certain mechanisms under German law. And that will take a few weeks, so I think, we will, by mid of year, that will then be fully completed. 
Operator: [Operator Instructions] We now have another follow-up question from Markus Mayer of Baader Bank. 
Markus Mayer: Yes, coming back to the new entities. So -- if you're right that this is part of the new entities then -- that you can also -- that you are looking for joint ventures, partnerships, restructuring, whatsoever to fix certain issues there. And what is the expected timing for that? Is this also expected to come in 2015? Or it should be more mid-2016, '17, the first question. Secondly, then on your Administration Excellence program, which has started to contribute in Q3, but at the same time, you're guiding for corporate costs to be flat. Are there any one-offs in there which are then contributing negatively, incrementally or why is this? 
Ute Wolf: Okay, thank you. I'll start with the question on the joint venture potentials and then, Tim will follow-up with corporate costs. Yes, I think, we always pointed out that for our Specialty Materials, there are different market mechanics. So it's driven by access to raw materials, [indiscernible] and so on. So we are exploring options and possibilities also for joint ventures with other players in the market. And this is still now going on. It is hard to say whether there will be a result next year or if that might then last until 2016. So I think we have no rush. We are running the business. We are optimizing the business, but we know strategically joint ventures or other constructions might be more efficient for that kind of business. So it's a bit too early to give an exact time line, but we are working on that. 
Tim Lange: Yes, on Admin Excellence, I guess, it's important to distinguish here that all the savings from Admin Excellence will not all appear in the corporate line. So this is a program where actually the whole company is dealing with and is working on. And so, savings will come actually in all of our -- in 5 of our segments in corporate, also quite pronounced in the service segment, for example, and also in the 3 operational chemical segments. And so, it's not all just focused on corporate costs. We have seen the first small savings in 2014 and the majority of the savings will come in 2015. So it does not have a major effect so far in 2014 on the corporate costs line. 
Operator: As there are no further questions in the queue, that will conclude today's Q&A session. I would now like to turn the call back to the speakers for any additional or closing remarks. 
Ute Wolf: Thank you. Yes, ladies and gentlemen, that brings us to the end of today's call. We are looking forward to staying in close contact with you. Klaus, I and the IR team will be on the road next weeks besides others, in Frankfurt, London and the U.S. Until then, thank you for your attention, and goodbye. 
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.